Melissa de Dios: Good afternoon, and thank you for joining us today to discuss the Company’s Financial and [Technical Difficulty] for the Full Year of [Technical Difficulty]. Copy of today’s presentation is on the website, those who’ve not been able to do so download the presentation [Technical Difficulty] www.pldt.com under the investor relations section. Kindly note that [Technical Difficulty] broadcast of this event will be [Technical Difficulty] codes for the presentation is on the screen and in the confirmation notice is email to you. For today’ s presentation we have with us our Chairman and CEO, Manuel Pangilinan; Mr. Danny Yu, our Chief Finance Officer and Chief Risk Officer; Attorney Marilyn Aquino, our Corporate Secretory and Chief Legal Counsel; and Mr. [indiscernible] Vea, Founder and CEO of Maya Philippines, as well as other members of the PLDT Group’s Management team.  At this point, let me turn the floor over to Mr. Yu to begin the presentation.
Danny Yu: Thank you, Melissa. Good afternoon, everyone. I'm very pleased to share with you PLDT's financial and operating highlights for the year 2023. Consolidated service revenue for 2023 rose by 1% to PHP 191.4 billion compared to the same period last year. On a gross basis, service revenue grew by 3% year-on-year. Operating expenses were lower by 2% or PHP 1.5 billion to PHP 87.1 billion. The combined increase in service revenues and decline in operating expenses resulted in a 4% rise in EBITDA to PHP 104.3 billion, a new all-time record high with EBITDA margin at 52%. Telco core income, excluding the impact of asset sales in Maya registered a PHP 1 billion increase to PHP 34.3 billion, higher by 3% year-on-year. On segment basis, revenue growth continued to be broad-based. Individual revenues accounting for about 43% of the total revenues grew by 2% to PHP 81.8 billion. The Home and Enterprise segments registered new record highs. Home revenues grew by 1% to PHP 60.4 billion, with fiber-only revenues having added 9% to PHP 53 billion. Enterprise revenues gained by 1% to PHP 47.1 billion. Let me now go through the segments in greater detail. The next slide shows that while the headline revenue growth ranges from 1% to 2%, there are underlying data revenue streams growing more strongly in line, if not stronger than the Philippine GDP growth. In the individual segment, mobile data accounting for 87% of the total revenues are growing 8% versus segment growth of 2%, reflecting the drug from legacy SMS in voice. Fiber revenues posted a 9% growth versus 1% segment growth due to the impact of legacy nonfiber revenues.  Under the Enterprise segment, corporate data and ICT advanced 6%, albeit segment revenues grew only by 1%. And overall, excluding the drug from legacy revenues, total revenues actually registered a 6% year-on-year increase. The individual segment showed sustained quarterly growth in 2023, signaling early signs of recovery for a business that has faced many challenges over the past years. Against an improving backdrop and an early signs of market repair, individual revenues grew by 2% to PHP 81.8 billion. As a result of various initiatives implemented by the business unit, average data usage rose by 19%, while ARPU grew by 17%. Worth noting is that revenues in the fourth quarter of 2023 gained 6%, following a 6% rise in prepaid and 4% growth in postpaid. Mobile data revenues underpinned the growth with a 6% rise to PHP 71.1 billion. Active data user rose to PHP 39 million as of the end of December 2023, with usage having grown 19% to 11 gigabytes. Mobile data traffic hit 4,900 petabytes in 2023, higher by 11% compared to last year. Initiatives to accelerate revenue growth in the individual segment include offer that increased usage and velocity, rationalization of packages, the launching of innovations such as prepaid eSIMs and online retail channels as well as more efficient and experiential trade operations. While home broadband revenues rose by only 1%, fiber-only revenues, which now account for 88% of the total home revenues improved by 9% or PHP 4.5 billion versus last year. PLDT is of the view that there are unserved and underserved markets in the home broadband space. These include new areas, potential customers at the lower end of the market as well as niche markets at the higher end. Unique to PLDT is the ability to leverage on both fiber and fixed wireless technologies to serve a broader market segment. An example of these are our fixed wireless broadband service that we offer in areas where port facilities are not available or to the lower end market on prepaid basis with less than 500 ARPU. Another example of leveraging on our integrated network is our industry-first always on broadband service, which is able to deliver seamless ultra-high-speed connection ensuring customers uninterrupted access for work, study and entertainment. In 2023, FiberNet ads stood at 234,000. PLDT continues to enjoy strong brand equity and superior network quality, making it a formidable competitor in the market. Data and ICT remain to be the key drivers of our enterprise business, which registered a year-on-year growth up 1% to PHP 47.1 billion, excluding the impact of preterminated or nonrenewed contracts, enterprise would have grown by 3%. Revenues in the fourth quarter were up by 6% quarter-on-quarter. Corporate data climbed by 4% due to higher fiber and managed IT services, ePLDT or ICT recorded a 15% rise in revenues, mainly from data center and cloud services. The Sta. Rosa data center remains on track with the first 10 megawatts capacity expected to come on stream by July this year. Full capacity is expected to be a year ahead of competition with ePLDT well positioned to serve the existing robust demand from hyperscalers. In addition, our growth pipeline is fueled by our focus on enabling digital transformation initiatives of corporate SMEs and government, including the creation of smart cities and the first sovereign cloud. Our enterprise business has also achieved preferred partner status with Cisco, Fortinet, Microsoft and Google demonstrating strong solution capabilities and a robust partner ecosystem. Next, please. The tight management of costs across the board continued resulting at a 2% or PHP 1.5 billion in total operating expenses, including provisions and subsidies. Increases in repairs and maintenance, mainly due to increased electricity arising from expanded network as well as the higher cost of services arising from SIM registration were more than offset by lower compensation, lower selling and promo as well as lower provisions and subsidies. The combined effect of higher revenues and lower costs resulted in a 4% improvement in EBITDA to PHP 104.3 billion, another record high with EBITDA margin at 52%. Exceeding guidance. Next, please. Telco core income for the period rose by 3% to PHP 34.3 billion from 2022, reflecting the impact of higher EBITDA and lower depreciation, partly offset by higher financing costs and tax provision. On a reported basis, PLDT income expanded to PHP 26.6 billion, mainly from the gain from tower sale and leaseback transactions, ForEx and derivative gains, but partly offset by MRP expenses in impairment of assets. Note that our share in losses from Maya stood at PHP 2.2 billion or PHP 1 billion lower than last year, in line with our expectation of Maya's breakeven by the fourth quarter of this year. Today, next, please. The Board of Directors declared a payout of a final dividend of PHP 0.46 per share, which together with the interim dividend of PHP 49 brings total to PHP 95 for 2023. This represents a 60% payout in line with our dividend policy. Record date except for March '21, while payment date is set for April 5. Next, please. PLDT's balance sheet remains healthy with a net debt-to-EBITDA at 2.3x, lower than the 2.44x at the end of September 2023. We are confident to hit our target leverage of 2x with the anticipated increase in EBITDA, reductions in CapEx and with the receipt of remaining tower sales proceeds. Gross debt amounted to PHP 256.9 billion, of which 16% are dollar-denominated and 5% unhedged.  Interest costs for the period stood at 4.58 pretax, while the average life of debt is less than 7 years. The total CapEx for the year amounted to PHP 85.1 million, consisting of network and IT CapEx of PHP 69.9 billion and business CapEx of PHP 7.4 billion. Of the PHP 33 billion of prior year's commitment, PHP 21 billion was included in the 2023 CapEx. The lower CapEx for '23 from PHP 97 billion in 2022 is in line with our objective of bringing down CapEx and aiming for positive free cash flow. Moreover, CapEx intensity for year stood at 42% lower than 50% in 2022. In addition, the CapEx of PHP 85.1 billion is PHP 19.2 billion lower than the EBITDA of PHP 104.3 billion. For 2024, our CapEx guidance is 75% to 78%, consistent with our aim to continue to reduce CapEx. Next, please. This page shows the usual network highlights. On the fixed network, we passed 17.5 million homes covering 18,600 barangay, representing 44% of the total barangays in the Philippines. We are present in 70% of towns and 91% of municipalities nationwide. Total fiber ports due to PHP 6.3 million as we reaccelerated portal out. We continue to carefully rationalize the rollout to ensure optimal utilization. PLDT's total fiber footprint remains unparalleled with a total of 1.1 million kilometers.  On the network -- on the wireless front, population coverage for our wireless network stands at 97%, about 82% of the total handsets on the network are LTE. The number of unique 5G devices and 5G data traffic continued to show growth. from the end of 2022. Based on OpenSignal's latest report, Smart leads with the Philippines best 5G coverage and availability. Before we discuss the guidance, let me turn you over to Mr. [De Vea] to discuss Maya.
Unidentified Company Representative: Good afternoon. Happy to update you on Maya. Exciting times for Maya as it leads the way towards revolutionizing financial services in the country. We are making significant breakthroughs towards growth as we leverage our strong ecosystem to build the number one digital bank in less than 2 years. We achieved this on the back of a very creative and innovative banking services delivered to our payment customer base, consisting of consumers and enterprises. Some big numbers. As of end 2023, we had 3 million depositors at 2.1x year-on-year growth from 2022. That number is now 3.4 million. We ended the year with a PHP 25 billion deposit balance, 70% higher than our balance by end of 2022, and that number is now PHP 27 billion. Importantly, we disbursed a total of PHP 22 billion in loans, a massive 6.9x year-on-year leap from 2022, and that's now PHP 25 billion. On the enterprise front, we solidified our leadership as the payments backbone of the Philippines by empowering more and more businesses to accept various payment methods seamlessly. Our omnichannel offering has established Maya as the number one processor of payment transactions for credit and debit cards where we hold 51%, 52% market share. And on QR PH transactions where we have a 44% market share based on Visa and Bank net data. May is now successfully bringing banking to the micro, small and medium enterprises in the Philippines. We provide higher business deposit interest rates than traditional banks, and we offer up to PHP 2 million unsecured credits to businesses that typically do not have access to credit. So for 2023, we posted a 4.4x growth year-on-year on enterprise loan disbursements. We are committed to supporting the financial needs of businesses of all sizes through all-in-one digital banking. Now on the consumer side. On the consumer side, our all-in-one digital banking platform is driving multiproduct adoption with Mya as consistently the number one ranked consumer app in Google Play and App Store among local finance apps. We have pioneered what is now known as high engagement banking by integrating consumer payments with the bank account. We offer up to 14% per annum interest rates on savings accounts for consumers. As a result, bank customers transact 2x to 3x more than payments only customers. Borrowers with savings accounts are more engaged and have lower default rates. Our consumer ARPU posted a remarkable 80% year-on-year growth in 2023. Our high engagement banking strategy resulted in the doubling of our depositor base to $3 million, as mentioned earlier, and boosted our deposit balances to PHP 25 billion as of December 2023. We also recently introduced a suite of savings and wealth building products, such as Maya Time Deposits Plus, Maya Funds and Maya Stats, which are all doing very well. Meanwhile, the enhanced Maya card, the fastest-growing prepaid card in the market enables users to use their Maya account globally. We are now the number one prepaid card in international usage among Philippine prepaid cards. All our customer transaction data are channeled to our AI-powered credit scoring platform. As a consequence, we're now championing consumer lending in the Philippines by using alternative data. We have built proprietary AI models driven by machine learning, enabling a surge in loan disbursements in 2023. Last Tuesday evening, we launched a consumer campaign featuring Lisa Soberano and Dali Deleon, I hope you saw it and you liked it. It's now trending widely in social media. So that's all for me. Thank you.
Unidentified Company Representative: Good afternoon, and thank you for joining us this afternoon. Let me start off with our guidance for the consolidated service revenue for 2024. We're guiding service revenue at mid-single-digit growth over 2023 revenues. We foresee continued increases in data broadband revenues attenuated somewhat by the legacy services legacy products that are negative, which continue to show negative as they replaced by the new data and broadband services. EBITDA is being guided at a similar manner, mid-single digit, supported by the top line growth. But we need to continue to manage our costs as we did a good job last year in 2023, where the cash OpEx line showed very little increase. And the intention is to push EBITDA margin above the 52% margin that you saw in 2023. Telco cores being guided at north of PHP 35 billion for this year and dividends at a regular dividend of 50% with a look back for most likely 10% additional, and therefore, 60% of course, for 2024.  CapEx has been guided at between PHP 75 million to EUR 80 billion, most likely below sub-PHP 80 billion for the full year, including carryover CapEx from 2022. But the bulk of the CapEx for this year will be the fresh CapEx, which I think Danny has described the usage of. Then also, Danny referred to greater free cash flow effort this year because we want to reduce our net debt-to-EBITDA closer to 2x. It was reduced somewhat in 2023 to 2.3. And if we're able to sell an interest in our data center, then the intention is to devote most of the proceeds to reduce debt, so that, that should bring us some ways closer to 2x net debt to EBITDA. I think that's basically it, Melissa.
A - Melissa de Dios: So we're now ready to take your questions. For those who are online, you might take your questions in the Q&A box in the upper right side of the screen. You may also click the raise hand button and wait for me to call your name before you unmute your microphone. You can also send your questions via e-mail to PLDT underscore ir_scorecenter@pldt.com.ph. Please indicate your name and company name, so we can get back to you for any additional information you may need. Allow me now to take questions from the floor first before we go to those who joined us online. There are microphones in the aisles. There were questions sent online by Gab and Pranav. Do you want to ask the questions yourselves. If you want me to read out the questions for now.
Unidentified Analyst: First, for the fiber segment. Additions in the segment slowed. Is this due to saturation in the markets you're present in? And which segments do you see it coming from moving forward?
Unidentified Company Representative: So I believe the question was on fiber growth and what we're seeing on fiber growth. I think when you have a look, I'll start off, I'll zoom out a little bit because if you have a look at the presentation that Danny just took us through, it showed the home segment growing by 1%, which actually looks quite muted. Just want to remind everyone, what actually sits in the Home segment are actually 3 big parts of our business. Number one is our fiber business, which actually grew 9% year-on-year, right? So our actual fiber business, which is our biggest area, it's the future business for us is actually growing at a rate of 9% year-on-year. The second bit that's actually inside the home business is fixed wireless. Now many of you would know in the market, we have actually seen a correction and a change in that. In fact, we're seeing fixed wireless subscriber numbers quite substantially declined year-on-year. We saw a similar amount. Fortunately, for us, it's not as much as, say, for example, the overall market. So we're actually seeing an improvement in terms of market share there. In fact, when you have a look at our quarter 3 or quarter 4 numbers, we are starting to see some growth as well come out of fixed wireless. So we're starting to use fixed wireless in areas where we don't have a footprint. We're also using fixed wireless to attack a different segment of the market. The third element that actually sits in our home business is actually our legacy business. Our legacy is whether it's our copper through ADSL, VDSL as well as our voice business and calling business. That is actually a really -- in the past, has actually been quite a large business for us but has been undergoing a lot of decline. And that's what's actually dragging down the overall home performance if you look at our overall number. If you look at that, that itself was actually negative PHP 3.1 billion or a decline of 35% year-on-year. So when you exclude out some of the legacy business, the declining businesses, you actually will see our fiber business continuing to grow at around 9% year-on-year. Now having said that, would we like to see more growth in the fiber business as we've seen in the past? Absolutely. That growth is going to come from 2 areas. Number one, as we -- actually, as Danny had mentioned, in 2024, we plan on reaccelerating our deployment of our fiber network to more areas. You would already note in 2023, we actually had quite a humble 170,000 ports that we deployed, far different from what we've done in the past. So 2024, we'll actually see a reacceleration of the deployment as we cover more areas and make fiber available to more homes in the Philippines. The second one is actually making sure that we sweat our existing infrastructure where we are today. We are already starting to see a focus in terms of customer experience. That's making sure that the lines that we provide actually get the best network experience and making sure we service our customers as best as we can. So with -- as we focus in on some of those existing areas, it's also then having other products that will allow us to target the different segments of that market. right? Those segments whether they are the high end, which we've recently launched gigabit fiber to be able to service the fastest broadband service available in the Philippines going up to 10 gigabits or down to the lower segments, but we also have prepaid fiber available to certain areas where we have excess capacity. So we do see continued growth available in the home market, and we will actually be using sort of that two-pronged approach, 2 different ways of actually attacking it. One is rolling out, and the second one is sweating our existing footprint.
Unidentified Analyst: Just a follow-up on that. You mentioned you have a prepaid fiber. How is that trending so far?
Unidentified Company Representative: So we've actually been in customer trials for prepaid. As we mentioned in the very -- I guess when it was first launched, it was something that was heavily discussed. We've been very cautious about how we've actually deployed that. We want to make sure that it is revenue accretive and value accretive for all of us. We sit very differently. PLDT is in a different position than some of our competitors. We currently enjoy 55% to 65% to 60% utilization. So if you look at billable lines, we have 55% point utilization. If you look at it from an overall, obviously, you have some customers that you are in different levels of suspension and connection, you're actually seeing at about 62% utilization. So we have a lot more of our customers, a lot more of our ports being used. We want to make sure that we use prepaid fiber to target areas where we have excess capacity as opposed to other players in the market, which actually have significantly lower utilization levels.
Unidentified Analyst: Sorry, I just have one more question. For the mobile segment, Smart's been faring better in terms of getting new subscribers and actually staying at of your competitor. So do you see this as a long-term indicator for revenues in this segment? Do you see that picking up? And are you seeing competition in the mobile space broadly?
Unidentified Company Representative: Probably just to respond quickly to the question. Number one, we came from a SIM registration bill that was enacted and put in force last year around the third quarter. So obviously, we saw a decline in our overall subscriber base. We have seen a healthier retention of customers ending at over 58 million last year combined for both repaid and postpaid. Obviously, there's a lot of work now to do to rebuild the base, and we are pushing very heavily both on the postpaid and prepaid businesses. And we are also pushing a lot of efforts around the eSIM which we launched on prepaid initially for digital delivery and now also available in postpaid as well. So we understand that there's going to be correction. Customers who were on rotation previously are probably not going to be as engaged as before because they have to go to a normal process of registration. And second, we also have to match this together with the growth in devices, which are sold in open channels year-on-year.
Melissa de Dios: Thanks for. Gab, did you want to ask your question?
Unidentified Analyst: Gabriel Madrid from [indiscernible] here. First question is on the PHP 13.9 billion in asset write-offs in the fourth quarter. Could you please provide more color on that?
Unidentified Company Representative: [Technical Difficulty].
Unidentified Analyst: And a follow-up on that. Fourth quarter depreciation was slightly lower than the typical run rate. I think it was about PHP 10 billion in the fourth quarter. Is that because of the assets that were written off? And do we expect that normalized run rate moving forward?
Unidentified Company Representative: [Technical Difficulty].
Unidentified Analyst: Okay. Second question is on Maya. I believe it was mentioned in the previous briefing that Maya was in talks with existing shareholders of possibly doing another fundraising round. Is there any update on that?
Unidentified Company Representative: After our $80 million funding round in December, at this point, we are fully funded. So our focus is on growing the business, building more services and launching more services, enlarging the base. So that's where we are at this point.
Unidentified Analyst: And one last question.
Unidentified Company Representative: Add some color to that. Maya did the presentation to the Board this morning about the results for the first 2 months because we -- we're obviously closely tracking their performance on a monthly basis because their target is to breakeven towards the fourth quarter this year. So we want to make sure that they're on track to meet those targets. So the first 2 months showed that an improvement -- significant improvement in their -- in certain financial metrics. The segmented EBITDA turn positive for the first 2 months compared to the loss last year. That is the EBITDA at the operating level. If you take into account the corporate overhead, it's still negative EBITDA, but 50% roughly of what it was of the loss that they showed in the first 2 months last year. And similarly, on a bottom-line basis, the result is similar. It's 50%, a bit more production in their net loss for the first 2 months compared to last year. So on that basis, the cash burn is also 50% thereabouts of their cash burn last year.  And you have cash of about 3.5 billion at the moment, 4.4 billion. And there's USD 20 left out of the USD 80 that [indiscernible] do mentioned. So that's more than PHP 1.1 or PHP 1.2 billion, incoming sometime this month. So we think that, that provides more than a buffer to accommodate the cash burn up to the third quarter. And our expectation is they should be at least breakeven if that's slightly cash flow positive in the fourth quarter this year. And then 2025, we hope they can see the light of day.
Unidentified Analyst: Thank you very much. My last question is on CapEx. The continued decline in CapEx is encouraging, although the rate of decline is much slower versus other telcos. So I believe that's due to the CapEx overrun of 2022. So I just wanted to ask how much of that overrun amount is left to be paid out this year and maybe next year?
Unidentified Company Representative: For this year, you have focus on projected CapEx of 75% to 78% around 3/4 or 75% is outdated and the balance is over a time perid.
Unidentified Analyst: So the rest of the CapEx will...
Unidentified Company Representative: It will be less then [Technical Difficulty]
Unidentified Analyst: So the balance will be fully paid out by the end of this year from the overrun.
Unidentified Company Representative: Probably 2 more years.
Unidentified Analyst: 2 more years.
Unidentified Company Representative: CapEx PHP 60 billion. [Technical Difficulty]
Melissa de Dios: There's a question from the -- from those who joined us online. Arthur, your hand is raised. You may unmute your mic.
Arthur Pineda: If I can go for 3 questions, please. Firstly, on broadband. On the total fixed broadband momentum, that seems to be quite soft for the last 2 quarters. You did mention that fourth quarter was weighed down by seasonal issues. But are you seeing this moving back to positive territory into the first quarter of 2024, what are you seeing for the year? Second question was on mobile competition. What are you seeing on the ground? Are you seeing any increased activity or customer traction from the third player following their earlier capital raising? And maybe just one last question on the data center side, on the expectations here. Do you see this as immediately accretive upon operation in the end of the first half? Or do you need to ramp up contracts first? I'm not sure if the capacities are already precontracted.
Unidentified Company Representative: Okay. I might start off first. On your question, Arthur, I believe it's around broadband seasonality and a slowing down in the second half of last year and what do we see for this year. And I think if I paraphrase that roughly. The short answer is we had a limited rollout in 2023, and you can actually see some of those -- the momentum actually start to come off. As Danny has mentioned already, we actually do plan in 2024, an acceleration of that rollout. So you'll actually start to see those things come online in the first half where we'll be looking to monetize them as quickly as we possibly can. So we would actually expect to see that we'll start to improve some of the momentum and get the momentum back into the fiber side of the business, getting back into, I guess, not maintaining, but actually growing, it's actually growth rate. So if you look at it on a quarterly basis, you're seeing sort of 7%, 8%, 9% growth rate, 7% to 8% in the last 2 quarters. We actually want to take that even further. When you're only isolating out the fiber business, right? So obviously, we still have some of the legacy to go that actually weighs down our number. But if you exclude that, we do expect to see actually fiber over the next -- well, for this year, over the balance of this year, we actually do want to ramp up our growth in our fiber business.
Melissa de Dios: There's a question on the data center.
Unidentified Company Representative: So on the data center, we have active discussions with potential partners, and that factors in the current capacity that we have of 28 megawatts plus the incoming capacity of 30 megawatts that we have for Vitro Sta. Rosa when it opens in July.
Unidentified Analyst: So that's precontracted. The upcoming 30 megawatts, you expect that when it launches already revenue generating?
Unidentified Company Representative: We obviously have -- we still have to fully sell out the 30 backwards, but we have a very exciting pipeline of opportunities for our 11 data center. No. Well, the hyperscaler data center Sta. Rosa it will be implemented in several stages. The first stage is only 10 megawatts. And I think there have been -- there's one major hyperscaler that have signed up, which we cannot disclose yet. So we're quite confident that the 10 megawatts first phase will be substantially contracted for before we open. Now with respect to the existing data centers, we're actually pull up. And so there are plans to expand the non-hyperscale data centers, particularly the one in Makati, right? Now we are -- it's fair to say, I think we've disclosed that we're in discussions with several buyers or investors in the hyperscaler data centers, which are ongoing at the moment. But despite that, business continues as usual in terms of talking to potential locators on the -- in Sta. Rosa for the hyperscaler data center.
Melissa de Dios: Arthur, did we get all your questions?
Arthur Pineda: Yes. Sorry, I had a -- the second question earlier was on mobile competition. Are you seeing that picking up following the recapitalization? And sorry, I just couldn't hear the answer on the CapEx a while ago because there were some microphone. If I can just get clarity in terms of the CapEx expectation?
Melissa de Dios: So for the mobile question first, Alex.
Unidentified Company Representative: Okay. Let me respond first to the question, mobile. So first, let me speak of what we do. So we have continued to deploy differentiated offers. We talk about longer validities, larger bandwidth, better experiences. With respect to competition, expect a lot more action online. So a lot of the issues regarding sales and after sales are obviously revolving around social and digital media. A lot of concerns, though, on experience, I think it's already been mentioned that we're restarting our network build, and we're intensifying investments and improving capabilities to deliver product lines that are going to be on value and really to the customer. Now with respect to competition, expect them to continue to build as well. And we'd like to ensure that we're able to compete I think the question here in the end is how do you remain relevant and to continue to provide value.
Melissa de Dios: There are several requests for you to repeat your answer on the clarification of the impairment. They couldn't hear you.
Unidentified Company Representative: This roughly pertains to an amortized subscriber acquisition cost of home churn customers. Since the customers have already led us, there is a need to write down costs associated with the service. This includes cost of CPEs, installation and others.
Arthur Pineda: Are these not taken out over the 2-year contract? Is it not amortized normally within the 2-year contract, right?
Unidentified Company Representative: No, it's not. Historically, we amortize it over a period of 7 years, but effective this year, we're going to amortize over 6 years. That's isolation costs. But for CPE, we amortize it over a period of 5 years.
Melissa de Dios: Thanks, Arthur. There's another raised hand from --
Unidentified Analyst: I just want to get more color again on the data centers. So of the 50 megawatts, am I correct in understanding that only the 10 megawatts will be first online? And then -- so when will the full 50 be available?
Unidentified Company Representative: Maybe [indiscernible]?
Unidentified Company Representative: Sure. So the builders Sta. Rosa is in 3 phases. The first phase that goes up in July is the first 10 megawatts. The remainder of the year will enable the remaining will enable another 10. And then the third, the balance of the remaining 10 will be enabled within the first half of next year.
Unidentified Company Representative: If I may add to that. I think what we'd like to see, as we're talking to foreign investors, where operators also of hyperscalers or simply data centers abroad is to bifurcate the business -- the data center business into 2. One is the hyperscaler side where they have to make admitments to us to bring in revenues from foreign locators in the Philippines for the hyperscale data centers, anywhere between 30 to 50 megawatts capacity for each of those data centers. In respect to what I call the domestic data centers, those below 30 megawatts, which will address the domestic market, not only Alpha enterprises, but also the MSEs that we can handle by ourselves, and they can take a minority or a significant minority interest in the domestic data centers, which we can handle, right, all over the Philippines. So that's the way -- that's the direction we're taking in terms of this data center, the business, right? So we don't have the capability to bring in by ourselves. I think it will enhance our capability if you bring in somebody who is a major data center player internationally. So that's the logic of bringing someone in on the hyperscale side of our business.
Melissa de Dios: Thank you. There are no other questions online. We'll take a second round from the floor, if there are any.
Derrick Guarin : I'm Derrick from CLSA. So I have several questions. First on the data center side again. For the planned stake sale, how much are you planning to sell in terms of the stake? And I might have missed it earlier. Have you already earmarked CapEx for the next data center after the 11th? And my second question would be in the -- on Maya. You mentioned a total loan disbursed of PHP 22 billion for Maya. This all loans to customers or does this involve repurchase agreements and such? What's the actual LDR for Maya? And what's your strategy in expanding loans?
Unidentified Company Representative: Well, on the -- as I said, we will bifurcate or. We intend to bifurcate the data center business. So quite likely, the hyperscaler side because they're big data centers. So they insist that they will have majority. So most likely either 50% plus one share or 51%, and we keep the 49%, right? On the premise that we told them you commit to bring a certain level of new revenues. And of course, finance your portion of the equity required to expand not only Sta. Rosa to be the full 30 megawatts, but also new data centers, either by ourselves with them or in conjunction with restate developments here in this country, right? Now in respect of what they call domestic data centers, we said we have to be majority and they will be a minority. So that is not clear yet to decide with them whether we have 60% or at least 51%.
Melissa de Dios: George, on the CapEx for this, the next data center.
Unidentified Company Representative: So the same -- so we are actively looking for the location for the 12th data center. So we -- there's a couple of candidates, but they have to be within a certain geographical location versus Makati, Clark and Sta. Rosa for it to be within, say, what you call a hyperscaler availability zone range so that you can maximize the cloud infra that is being put there. So after the selection, the design will then determine the amount of CapEx that we will need for that facility. So it all needs to be planned. But we have to -- essentially, we're targeting that we have to build by late -- starting late next year, if not early 2026.
Unidentified Company Representative: Yes. In respect of the CapEx for the entire 30 megawatts, the Board has approved that project in its entirety. But since its phase, every phase has got to, of course, they got an approval for the first phase of 10 megawatts. And the next phase would be maybe another 10. So that is subject to final approval by the PLDT board and so forth and so on. Now let me stress that the distinct advantages of PLDT and its data center is number one. So our -- and number two is the assurance of power. A number of these data centers require a certain proportion of power supply being renewables. So I think it's only us this group that can provide a guarantee of power, continued power supply despite and, of course, a proportion of the power supply being renewables. Yes, I had several questions. First, on what type of loans this PHP 22 billion consists of? They are mostly personal loans on 30-day. And some of it -- a small part of it is business loans, which we are just starting to offer. So on the other question, strategically, we're pushing SME loans in -- well, currently as we speak. So that will comprise a bigger part of our loan portfolio for 2024. I can let SB describe other loans. We are -- kinds of loans we are launching this year. But on LDR, current LDR is at 12%, 12% to 15%. Obviously, that's still low, a lot of room to push it up. Towards the end of the year, we'll probably push it up beyond 50%. So that's on the LDR. So SB on the loans.
Unidentified Company Representative: [Technical Difficulty] That launch 2 months back and is scaling up nicely. And then on the micro and the small enterprise, that's really the next area where we are focusing in a big way. We've already started disbursing micro loans since November last year. And now we are testing and launching the small enterprises. So these are longer-term loans, which help us, as Doug mentioned, to end the year closer to a 50% loan-to-deposit ratio. Those are the number that we're looking at.
Unidentified Company Representative: I think with your indulgence, we may need additional CapEx for microphones.
Melissa de Dios: There is a request for you to repeat your answer because you didn't have your mic on. In respect to the CapEx overrun, how many -- how much of the PHP 33 million was already absorbed this year?
Unidentified Company Representative: We have already recorded PHP 21 billion out of the PHP 33 billion.
Melissa de Dios: Any more questions from the floor or from online. If there are no further questions, we'll now turn the floor over -- there's one more question.
Unidentified Analyst: One question only. Can you provide more color on the digital entity or the DGI code that you're in the disclosure in terms of the contribution or the expenses that they involved?
Melissa de Dios: Maybe we'll do the tougher question together. So we're actually forming what we call a digital company or digital. So what we intend to do is harness the assets of the group. We feel that's a good start in. ultimately, it's all about providing service to the consumer. Of course, in a more digitalized way. So a lot of that, of course, it will start from the data that we have. Definitely, this is going to be based on the consumers' uptake, and we intend to be able to bring together, address these of the consumer and address them in a better way. I think one thing that the Philippines that we have today is our own expression of a digital service for ourselves, right? It's very ironic because we are a very young digital savvy country. I mean if you look at Southeast Asia, right, we -- we're probably one of the most digital, very useful, very clear creative. But unfortunately, we don't have our own real super app. Correct. It's still a very fragmented space. Yes, we do have Maya, yes, G cash, Heavy Payments. But what about in terms of servicing, what about in terms of providing the providing the ability to conduct, let's say, mid by day-to-day activities online. Anything you can think about.
Unidentified Company Representative: Is that comprehensive enough? Well, it's a very complicated [indiscernible] when he first presented to us. So we have to slice and dice. So the priorities which cut indicated is data, right? Because when you look at the spectrum of the group companies, you started the telco, which is the largest subspace and therefore, it generates a lot of data. So the question is that we probably have the data, so called data leak, but have created curated it to the point with the deployment data analytics for -- to be presented to the Board, for example, what's their buying pattern, what's their lifestyle of each of the subscribers, be it an individual for the corporate, right? So that replicates itself in Meralco, which is the second largest consumer base of the group. They have 8 million customers, which suggest 5 people per household, for example, that's more than 40 million people plus institutions, hospitals, schools, et cetera, et cetera, which are invariably part of the Meralco consumer base. Then the next is mainly at 2 million customers as well. And the last is the tollways. The hospitals as well, they do generate a lot of data about not only health conditions, but the way they behave. But with respect to the hospitals, they probably are the least school in IT adoption. So the pain points, as you know, you've been to our hospitals, we've been the digitalization, the manualized medical records. When you check in, you have to fill up every time you do that. And of course, of the billing, it takes a while. So with that they call every department who [indiscernible] bills, which takes a long time. So that has got to be attacked individually, persuading each of the companies to create the proper data lake and curating it to get a 360-degree view of their customers, then it will elevate to the next stage, which is how do you share the data. That's when you run off all of data privacy and all the wonderful things about regulation. So that's the idea about the data issues confronting digital. Let me give you one example. Another example, tollways. We have about probably 800,000 vehicles per day crossing our tollways, right? And if you transpose that to Indonesia, where we're the largest tollways, we have 2 million vehicles per day in Indonesia. Now we know we can count the vehicles, but we don't know who they are, right? When we get into -- right now, we are forcing our tollers to remove the barriers, right? They can only do that if they have a more sophisticated number one payment system. So we have to tell them, we must have 99% of the users of our [roles] on RFIDs, a more sensitive detection system, so we could take photos of your license space. But the photos will be useless unless we connect it to the database of LTO, which is government, and we suspect that the database of that government agency would be incomplete. It would be dirty. And what else, what are the [indiscernible]. So we have to fix that database. So we're anticipating that. But imagine how useful it would be and reducing congestion on our roads, and therefore, reducing CapEx, if we just can run through the normal toll booths, right? Or you are toll booths, but nobody there. So you don't give up. Similar to Hong Kong, you guys have been to Hong Kong. There's no -- it's barrierless situation. So if we're able to combine the tollways of [indiscernible] then our tollways. So it's a single payment system, no barriers and our ability to apprehend people whose low this either inadequate or no load at all. But Filipinos being Filipinos, there will always be the aside, we will insist that they want to pay in cash. So we will need at least one to all boost for these guys. So yes, but we're moving in that direction. And we should be able to target -- this is where the IT job digital to target your entry and to target your exit. And automatically, at your exit point, it's an automatic calculation of the fairness in [indiscernible]. And it's an automatic debit against your payment system. That's the landscape that these guys have to achieve with the corporation tollways, right?  Now on the payment, the discussion [indiscernible]. So we have 2 -- the payment vertical of the group is the payment gateway, which is center, which is the biggest builder in the country with about PHP 400 billion of gross transaction value. And it turns out [indiscernible] its own payment gateway. So the [indiscernible] orders is to merge the 2 to become the biggest payment gateway and to expand that business to the PHP 1 trillion something level, right? And then minus is our biggest wallet, but it turns out deep is also a digital wallet at the moment on like all of our light rail system, but they're moving into the transportation sector. The PVs principally, GPs, taxis, buses, even [indiscernible], right? They can use the phone, QR code on the phone. Of course, we have to install readers on each of those vehicles. So that's the vision. In fact, we have a subsidiary, tollway subsidiary called [indiscernible] that are doing 2 things. One is the migration from fossil fuels to e-vehicles and number two is the payment system, digital [indiscernible] on their vehicles. That's also a part of the job of digital.
Melissa de Dios: Any other questions? Last chance. So if there are no other further questions, we will now turn the floor over back to Mr. Pangilinan for his closing remarks.
Manuel Pangilinan: I don't have anything more to add. I spoke too much. Anyway Happy Easter, is it 3 weeks or something?
Melissa de Dios: End of April -- end of March.
Manuel Pangilinan: So do your payments.
Melissa de Dios: On that happy note. And that concludes today's briefing. As always, should you have any further questions or clarifications, please feel free to reach out to PLDT Investor Relations. Thank you for your participation and join us for some refreshments outside. Thank you.